Jeremy Bragg: I'm Jeremy Bragg, Head of Investor Relations, and I'm joined today by our CEO, Tufan and our CFO, Helen. So before we begin today's presentation, I'm required to show you the safe harbor statement on Slide 2. So the full materials can be downloaded from our website. And in today's presentation, we are going to cover financial and strategic progress over the past 2 years. The 2024 results in detail, our guidance for 2025 and our upgraded midterm targets. So after the presentation, there will be time for questions from the room and if there's time from our online audience. So for those of you in the room, there's microphones in the seat in front of you and you need to press and hold the button before you speak. So before I hand over to Stefan, we'd like to show you a short video that highlights some of the progress that we've made this year. [Presentation]
Tufan Erginbilgic: Good morning. We are transforming Rolls-Royce into a high-performing, competitive, resilient and growing business. We are expanding the earnings and cash potential alongside delivering significantly improved performance. This is about creating a sustainably distinctive business in terms of safety, operational effectiveness, customer service with advantaged technologies and products combined with a distinctive performance culture. These all mean we are taking Rolls-Royce to a place that it has never been before, which opens up further potential for future profitable growth. We have made progress, but we are not done yet. Today is important day for Rolls-Royce.  2024 represents another year of strong financial and strategic delivery, building on the progress made last year. We achieved this despite a supply chain environment that remains challenging. Based on our 2025 guidance, we now expect to reach our CMD targets for profit and cash 2 years earlier than expected. We have materially increased the potential of the business and delivered at pace. We are upgrading our midterm guidance based on a 2028 time frame. We are confident that our actions, investments and how we run the company already significantly underpin future performance improvements. We now have a strong balance sheet with an investment-grade rating from all three agencies. In addition to reinstating the dividend, we are also announcing a GBP 1 billion share buyback, Rolls-Royce's first in a decade to be completed this year. It is further evidence of our commitment to grow shareholder returns. Our strategic progress is a result of what we choose to do and how we are running the business. Together, they both enabled current and future delivery and develop a sustainable platform to continue to build on. We are operating as one Rolls-Royce, embedding a distinctive performance culture with a winning mindset where everybody knows their role and how they contribute to strategic delivery. Our agenda for today, and Jeremy talked about it is as follows. First, I will briefly talk to the drivers of the step change in performance over the last two years, laying out some specific examples of our actions set us up how our actions set us up for continued future delivery. I will then share our guidance for 2025. Our upgraded midterm targets and the key drivers that underpin our midterm targets. Helen will then talk to our 2024 results. Our midterm cash outlook and how we are making Rolls-Royce more resilient and our capital framework. I will then finish by talking about the drivers of growth beyond the midterm. Let us first look at our delivery over the past 2 years and the foundations that we have built. Our financial performance has improved significantly over the last 2 years. This has been achieved despite a supply chain, that remains challenging, which understates the true impact of our transformation. Group operating profit has risen by almost 4x from GBP 650 million in 2022 to GBP 2.5 billion last year. Our operating margin has increased from 5.1% to 13.8% last year. All three divisions contributed. Let me give you a brief summary of the key drivers of this performance improvement. In civil aerospace, operating profit has increased by more than 10x from around GBP 140 million in 2022 to GBP 1.5 billion last year, with a margin of 16.6%. This has been driven by four factors: first, stronger LTSA profitability with a higher profit per shop visit alongside increased shop visit volumes. Higher LTSA margins have been driven by commercial optimization, including renegotiating contracts, time-on-wing initiatives and lower shop visit costs. Second, time and material profit tripled, reflecting improved LLP margins with almost 60% of LTSA contracts now unbundled. Third, business aviation profit has more than doubled over the past 2 years with higher OE and aftermarket margins and profit. And fourth, widebody spare engine profit has improved significantly reflecting commercial optimization actions. In defense, operating profit has increased by 50% over the past 2 years with a margin of 14.2%. The largest driver was improved aftermarket performance in combat and transport. Submarine profit has also grown significantly. Power Systems operating profit has doubled since 2022 with a significantly improved margin of 13.1%. The main driver of higher profit is power generation, where we fixed the business model to capture profitable growth. As a result of our actions, we now earn a double-digit operating margin in power generation, including data centers. Free cash flow has risen by almost 5x to GBP 2.4 billion in 2024 with improved cash generation across all divisions. This was largely driven by higher operating profit and supported by continued LTSA balance growth. Over the past 2 years, we have captured more than 50% of total widebody deliveries. This means our market share of the widebody installed base has risen from 32% in 2022 to 36% last year. This helped to drive large engine flying hours to 103% of 2019's level. We have driven a higher normalized EFH rate. We are also investing more into the business. with net investments rising by around GBP 500 million since 2022, which will drive profitable growth to the midterm and beyond. In addition, we are seeing working capital benefits as we drive down inventory and receivable days. Return on capital has risen from 4.9% in 2022 to 13.8% last year, representing significant value creation. To demonstrate how we improved some of the key drivers for profit and cash, I will now focus on three initiatives that have delivered significant performance improvements over the last 2 years. These initiatives will also drive stronger performance to the midterm and beyond. The first graph shows we have created a multibillion cash improvement from renegotiating OE and aftermarket contracts in civil aerospace. Over the last 3 years, we have renegotiated almost all our OE contracts. As a result, business aviation OE engines have turned profitable. By the end of 2024, we also successfully renegotiated a significant portion of our onerous aftermarket contracts and expect to largely conclude the remainder into 2025 and 2026. Only around 30% of these OE and aftermarket cash benefits will be realized by 2028 with the remainder being delivered progressively over time, you can see it on the first graph. The second graph shows we are driving higher contract margins and therefore, higher LTSA margins over time. Our contract margin is the average LTSA margin across all signed contracts even if the engines are not delivered yet. This is a leading indicator for the LTSA margin that we will book in our income statement in the future. Our contract margin is improving by 17 percentage point between 2022 and 2028 due to new and renegotiated contracts that are coming in at higher margins and better terms as well as the operational improvements that we are making. This will drive around a 20 percentage point improvement in the LTSA margins in the income statement over the period. We have already made strong progress in improving both contract and LTSA margins, as you can see from the chart.  As our contract margin is a leading indicator for our LTSA margin in time, two lines will converge. Furthermore, our actions will drive further enhancements to both of these margins as we renegotiate more contracts, execute our plans and release contingencies and as we deliver new operational improvements. This will shift both of the lines up further. Finally, in power generation, we have restructured our business model and are now delivering a double-digit operating margin. Power generation's margin has increased by more than 10x over the last 2 years, resulting in a competitive and significantly improved business model. This improvement was driven by reducing overhead and product costs, driving better pricing and improved mix as we focused on selling higher-power engines and eliminating lower power ones. At our CMD, we set out a target of delivering GBP 400 million to GBP 500 million of efficiency and simplification benefits across the group to make us more competitively advantaged, resilient and fit for the future. This target included annualized benefits of GBP 200 million by reducing layers, removing duplication and driving synergies across the group to enable simpler, more agile ways of working. We have already delivered efficiency and simplification benefits of more than GBP 350 million. And by the end of this year, we expect to deliver benefits of more than GBP 500 million 2 years earlier than planned. At our CMD, we also set out plans to deliver around GBP 1 billion of gross procurement savings over the 5 years to 2027 to help offset the impact of inflation. We have already delivered more than half of this. By the end of this year, we expect to deliver more than GBP 1 billion of gross procurement savings despite a supply chain environment that remains challenging. Significantly improving our cost base means that our commercial improvements and therefore, gross margin increases flow directly to our bottom line. We are also implementing a new global business service strategy, which will improve performance further, better efficiency, effectiveness and experience with a new center opening in Poland and an expansion of our center in India. The benefits of this will progressively scale up. We are also rolling out zero-based budgeting across the group following successful pilots in civil aerospace. These pilots demonstrated savings of 10% to 15% in third-party costs in identified areas. The benefits of all of these initiatives can be seen in our total cash to gross margin ratio. This has improved from 0.8% in 2022 to 0.47% last year. If you remember, this ratio in 2019 was actually 0.9%. This is a best-in-class ratio providing us with a sustainable competitive advantage. Hopefully, this gives you an insight into not only how we delivered profit and cash improvements so far, but also how these initiatives will drive improved financial outcomes into the future. Our strategic plan is based around four pillars. We have made significant progress across each of these. I already covered some of our key strategic initiatives and efficiency and simplification. Let me talk about the rest briefly. First, portfolio choices and partnerships. As mentioned, we increased net investment by around GBP 500 million over the last 2 years, focusing on the most profitable projects across the group. In civil aerospace, we successfully tested UltraFan in 2023, and we are further improving the design progressing the development for both narrow and widebody aircraft. We have invested to grow capacity in Derby, Dahlewitz and Singapore which will allow us to increase deliveries of new engines. And by the end of this year, have the capacity to deliver a 50% increase in shop visits as compared to 2023 to support rising aftermarket volumes. In Power Systems, we successfully tested our next-generation engine. This differentiated technology will improve our access to market segments and will enter service in 2028. We announced the disposals of noncore activities of our portfolio, including our direct air capture assets, naval propulsors & handling business in Defense and the lower power off-highway engine range in Power Systems. We also made the decision to shut down our electric advanced air mobility activities alongside our electrolyser and fuel cell activities. Next, strategic initiatives. In Civil Aerospace, one of our most important strategic initiatives is time on wing. At the CMD, we set out our target of delivering a 40% increase in time on wing across our modern engines by the end of 2027. We now believe we can achieve double this time on the time on wing improvement within the same period, i.e., by the end of '27. We will have already delivered a significant improvement by the end of this year. Our increased time-on-wing target is driven by new initiatives. For example, on the Trent XWB-84, we use a combination of a compressor blade modification, through the engine in conjunction with improved analysis of millions of hours, operating data to systematically raise the cyclic limit of critical parts. As a result, we now expect shop visits to peak in 2026 before falling in the midterm to below our previous CMD target for 2027. On Trent 1000, we are in the final stages of the certification of our new HPT blade that will more than double the time on wing of this engine. Flight testing was successfully completed. We have switched our OE production to the new blade already and are aiming for certification in 2Q. We expect to be able to introduce the new HPT blade to all engines across the fleet over the next 2 years, meaning that it will deliver a near-term benefit. We are also on track to complete further improvements to Trent 1000 and Trent 7000 by the end of this year. That will add another 30% to time on wing. On the XWB-97, we are doubling the life of the engine in non-benign environments and increasing it by 50% in benign environments. The first phase of improvements, new coatings for the turbine blade and seal segment, has been certified and is performing well. The next phase of improvements is underway and on track to be delivered by the end of 2027. Finally, lower carbon and digitally enabled business. Rolls-Royce has unique nuclear capabilities, including SMRs, which I will talk to later. In Power Systems, we delivered 500 HVO power generators to the data center sector. Our battery storage system business, which will become profitable in the near term is growing quickly. We expect to deliver contracts with a total of 2,000 megawatts over the next 2 years. We are capturing the benefits of becoming a more digitally enabled business. We are investing to upgrade our sales and operating planning system and upgrading our engineering mainframe. We are pioneering in new tools and techniques in civil aerospace, including the use of machine learning and advanced imaging technologies to inspect turbine blades. This results in a faster, more consistent process that extends the time on wing of critical engine components. Turning now to our guidance for 2025. As you have heard, we delivered a lot over the past 3 years and laid strong foundations for the group. Our actions and initiatives set us up for another year of strong delivery this year. Our 2025 guidance will see us delivering our operating profit and free cash flow, CMD commitments 2 years earlier than planned. We expect underlying operating profit of GBP 2.7 billion to GBP 2.9 billion with a year-on-year improvement in operating profit in all core divisions. We expect free cash flow of GBP 2.7 billion to GBP 2.9 billion, primarily driven by higher operating profit alongside continued LTSA balance growth. In 2025, we expect a GBP 150 million to GBP 200 million impact from the supply chain to free cash flow similar to that phase last year. Helen will take you through this in detail. We are also upgrading our midterm targets based on a 2028 time frame. These upgraded targets reflect the strong improvement in performance over the past 3 years and the potential that we see from the business. A significant portion of the performance improvements to the midterm are underpinned by the investments and the actions that we have already taken. I shared some of them with you earlier. These midterm targets are a milestone, not a destination. As you will hear later, I am confident and excited about our growth prospects beyond the midterm. We target an operating profit of GBP 3.6 billion to GBP 3.9 billion in the midterm, an improvement of GBP 1.1 billion to GBP 1.4 billion compared to 2024 million. I will talk to you about the drivers of this improvement shortly. Our midterm operating margin target is 15% to 17%. This compares to an operating margin of 13.8% in 2024 as we transform Rolls-Royce into a truly competitive company. Our midterm target for free cash flow is GBP 4.2 million to GBP 4.5 billion. This compares to GBP 2.4 billion delivered last year. Stronger free cash flow is mainly driven by operating profit and continued LTSA balance growth. I would like to highlight one important point here. Our strategic initiatives and actions aimed at driving higher LTSA margins and LTSA balance growth. We intentionally do that. Let me explain, given our starting point of a young and growing fleet and the fact that we have a significant time on wing improvement opportunity, you should normally expect continued LTSA balance growth for the foreseeable future. Additionally, our commercial optimization and cost efficiency actions further drive LTSA balance growth. I would like to touch on some of the cash drivers and Helen will talk about cash in detail. We are capturing more than 50% of new widebody deliveries, which means our installed fleet will grow at 7% to 9% compared to 3% to 5% for the market. These are per year targets, by the way. We are driving higher normalized EFH rate through commercial optimization with a growing cash benefit from contract renegotiations and as new contracts scale up. Our time on wing initiatives mean that shop visits will peak in 2026 before falling through 1,250 to 1,350 range in the midterm. Finally, we expect to deliver an 18% to 21% return on capital in the midterm, highlighting the economic value creation potential of the business. I believe this will be one of the leading returns in the industry. I will now talk about the key drivers behind our midterm operating and margins. As I said, Helen will talk about the cash. These midterm targets are already significantly underpinned by the actions that we have taken. We expect a continued improvement in operating profit in all three core divisions. The largest improvement will come from civil aerospace where we target an 18% to 20% margin in the midterm. We see the potential for this business to deliver a higher than 20% margin beyond the midterm. Higher operating profit in Civil will be driven by four factors: Firstly, a further improvement in aftermarket performance with an increase in LTSA margins driven by the six levers. As mentioned, the benefits to LTSA margins and cash flows from new contracts will scale up with a further benefit as we negotiate more new and renewing contracts. I discussed time on wing earlier, which will also be a key contributor to LTSA margin improvements. We now expect to increase the time on wing of our in-production engines by more than 80% by the end of 2027. This will drive a reduction in shop visits in the midterm. We are also driving down shop visit costs by the midterm Trent XWB-84 shop visit costs will halve versus 2019 with more than a 35% reduction already achieved by the end of last year. And all of our in-production engines, we'll see a shop visit cost reduction during the time frame. Secondly, improved widebody OE profitability. By the midterm, Trent XWB installed engine deliveries will be breakeven or positive thanks to our commercial optimization and cost efficiency actions. We also expect higher profitability on spare engines also reflecting commercial optimization and mix effect. Thirdly, a further increase in business aviation performance with increased volumes as our Pearl engine deliveries ramp up alongside a continued business improvement with both OE and aftermarket growing profitably. In Business Aviation, we expect to grow by double-digit percentages to the midterm and significantly higher than the market. And fourthly, these benefits will be partly offset by a reduced contribution from contractual margin improvements. As I mentioned, we expect to finish our renegotiations by '26. In defense, we continue to target a 14% to 16% margin in the midterm. The performance improvement between now and the midterm will be mainly driven by self-help. Higher operating profit will be driven by improved OE and aftermarket performance notably in transport, supported by the commercial optimization actions we have taken over the past 2 years. This is partly offset by the divested earnings. In Power Systems, we now target a 14% to 16% margin in the midterm. Across power systems, more than half of our profit comes from services, notably governmental and marine, but also our gas engines and industrial. This makes our business more robust. We expect strong services growth going forward, which will also support margin improvements to the midterm. In power generation, we expect revenue growth of 15% to 17% per year compared to around 10% for the market. This is driven by our differentiated products and systems offering and global account management and our disproportionate weighting to data centers. A good portion of data center growth to the midterm is already underpinned by firm orders. In governmental, we see market growth of 5% to 7% to the midterm. Our strong program positions means that we will grow faster than the market with attractive margins. And in Marine, market growth of 5% to 7%, we expect to grow in line with the market, but a faster rate than we assumed at CMD. We anticipate significant growth in our lower carbon products, particularly battery storage systems where we expect very strong growth over the next for years. Now I'm going to hand over to Helen.
Helen McCabe: Thank you, Tufan. Good morning, everyone. I will now take you through our 2024 performance. And then for the midterm, our free cash flow growth and capital frame. So let's start with 2024. Strong results, double-digit growth across revenue, profit and cash flow with the balance sheet continuing to be strengthened? And what's important is that every division is delivering. Key financial highlights, revenues grew by 17% to GBP 17.8 billion, with good end growth across all divisions. Group operating profit grew by over 55% to GBP 2.5 billion, supported by delivery of our strategic initiatives. Operating margin grew by over 3 percentage points to 13.8%. Free cash flow, it grew by GBP 1.1 billion to GBP 2.4 billion supported by higher operating profit, continued LTSA growth and a working capital release alongside higher net investments. Strong cash flow generation meant that we closed the year with a net cash position of GBP 0.5 billion the first time since 2018 that we have been in a net cash position. Return on capital that rose to 13.8%, driven by improved operating profit and margins. And yes, those strong results have enabled us to declare our first dividend in over 5 years and to announce a GBP 1 billion share buyback, our first in a decade. Now to the detail by division. I'll start with civil aerospace. Civil delivered the largest year-on-year improvement in profit and cash, record outcomes. Operating profit grew to GBP 1.5 billion, an increase of 79%. Cash flow grew to GBP 2 billion, more than 3x higher than 2023. Operating margins grew to 16.6%, a 5 percentage point increase year-on-year, and revenues grew to GBP 9 billion, an increase of 24%, with strong growth across both OE and services. Indeed, service revenues grew 28%, driven by higher LTSA shop visits and the benefit from our commercial optimization actions. OE deliveries grew by 16% to 529. Of these, 278 were widebody engines, which included 221 installed engines, giving us a wide-body delivery share of more than 60% in 2024. And spare engines were 57, four higher than the prior year, increasing our operational flexibility and our ability to serve our customers. Business Aviation deliveries grew to 251, 174 of which were Pearl engines, where we see strong and growing demand for this leading engine. And total shop visits grew by 7% to just over 1,300. Of these, 430 were large engine refurbs. That compares to 368 in 2023. Now to operating profit in more detail. Four key factors drove that 79% increase. First, higher large engine aftermarket profits. This was primarily driven by our six levers to improve LTSA profits alongside higher shop visit volumes and increased time and material profit. Second, stronger business aviation profits across both OE and aftermarket. OE deliveries grew by 28% and were done at higher margins than the prior year. And aftermarket shop visits grew by 13%. Again, done at higher margins. Third, cost efficiencies, our actions supported lower year-on-year and direct costs, this despite continued inflationary pressure. And fourth, contractual margin improvements. Net contractual margin improvements were a benefit of GBP 235 million. This compares to a charge of GBP 54 million in 2023. The GBP 235 million comprised a benefit of GBP 290 million from catch-ups and a GBP 55 million charge against onerous contracts. We continue to make good progress across both large engine and business aviation contracts. In large engines, we continue to find win-win solutions with customers. As a result, we released further onerous provisions. We also saw benefits from catch-ups across both large engines and business aviation, driven by our actions on life cycle costs and commercial improvements. In total, all of this contributed to a gross benefit at GBP 617 million in the year. However, this benefit was partially offset by additional charges of GBP 382 million taken across both onerous and catch-ups, largely as a result of prolonged supply chain challenges. We continue to manage the supply chain very tightly. Let me give you just a few examples of what we are doing. Procurement and supplier management teams have been integrated. Teams have been upskilled, have better tools and have better processes. In aerospace, we have secured additional raw material buffer stocks, which we are sharing with suppliers to help them tackle shortages. We are embedding around 250 people across key suppliers to provide additional skills, capability and to drive stronger integrated planning. Agile teams have stood up. Our Trent 1000 task force in place. These bring together people from operations, supply chain, engineering, technology, safety and planning. These changes are driving positive impacts. For example, we increased Trent 1000 supply chain output by around 20% in 2024. We expect the supply chain to remain challenged for the next 12 to 18 months, but it is being managed very tightly. Let me now turn to cash. Civil delivery [Audio Gap] as we continue to strategically invest in areas such as time on wing, UltraFan, MRO and OE capacity. In summary, a very strong performance from the Civil team, delivering higher profit margins and cash and all while continuing to invest in the future. Defense, also a strong performance, reflecting the benefits of strategic initiatives, particularly our commercial optimization and cost efficiency actions. Order intake, order book, revenue, profit margins and cash were all [Audio Gap] percentage point increase year-on-year, a strong improvement when you consider the higher mix from the lower margins in submarines. Order intake was GBP 13.3 billion with a bit to bill ratio of 2.9x. This was supported by a first-of-its-kind multiyear submarine contract worth GBP 9 billion with the Ministry of Defense. Order backlog at the end of the year was GBP 17.4 billion with an order cover of 90% for 2025. Revenues, they grew to GBP 4.5 billion, an increase of 13%. This was led by submarines, which reported growth of over 50%, while combat and transport were broadly flat. As I mentioned at half year results, defense revenue growth was boosted by a one-off item associated with the submarine contract. Even excluding this, revenue growth was still 7% for the division. Year-on-year improvement in operating profit was driven by three key factors. First, strong aftermarket profit led by transport, reflecting a more favorable mix, including more spare parts sales and improved pricing. Second, strong submarine growth, reflecting the ramp-up of programs such as AUKUS. Third, cost efficiencies, including an increase in customer-funded R&D as we ramp up on projects such as FLRAA, GCAP, B-52 and AUKUS. And these benefits were partially offset by the impact from lower OE volumes due to supply chain constraints. Defense's cash flow increased to GBP 591 million. Cash delivery was driven by operating profit and a disciplined approach to working capital. So a strong year, higher profits, margins and cash and  [Audio Gap] and critical contract wins that underpin strong profit growth in Power Gen, where our restructuring of the business has led to double-digit operating margins. Operating profit grew to GBP 560 million, a 40% increase year-on-year. Operating margins grew to 13.1%, a 2.7 percentage point increase. Order intake grew to GBP 5.1 billion, a 19% increase with a book-to-bill ratio of 1.2x. OE order coverage for 2025 stands at 82%. Demand remains particularly strong in Power Gen where we have strong exposure to the fast-growing data center market, leading to a 42% increase in orders. In governmental, our order intake was also up by a third year-on-year. Revenues grew to GBP 4.3 billion, an increase of 11%. Power Gen and governmental delivered increases of 25% and 17%, respectively. Data center revenue growth was 46%. You will see on this slide that industrial revenues were 20% lower year-on-year. This was largely due to the disposal of the low power range off highway business. Operating profit growth was driven by three factors: commercial optimization. We continue to see the benefits from our pricing actions. This was particularly evident in power generation, which also benefited from an improved mix as we focused on larger, higher-margin products. Battery energy storage systems, where we continue to see strong opportunity and where we're on track towards profitability in the near term and cost efficiencies, what our actions helped mitigate the impact of inflation. Trading cash flow it stood at GBP 452 million. That compares to GBP 461 million in 2023. This slight decrease reflected strong operating profit growth, record levels of investment. For example, in our next-generation engine, which will offer best-in-class fuel efficiency and power density and higher working capital as we support continued business growth to wrap a strong outcome for power systems across all key metrics. Now let's move to the cash flow. We delivered GBP 2.4 billion of free cash flow, more than GBP 1.1 billion higher than in 2023. The main driver of the year-on-year increase was higher operating profit, which grew by approximately GBP 900 million. Other factors included investments. We continue to invest for future growth across the group with a clear focus on investments that are strategically aligned, attractive projects that generate profitable growth to the midterm and beyond. These include our GBP 1 billion multiyear time on wing program, additional capacity in Derby, Dahlewitz, and Singapore to support higher OE and aftermarket volumes, continued investments in Power Systems and Defense, investments in our engineering mainframe and in our sales and operation planning processes. As a result, net investments were GBP 280 million of an outflow that is GBP 360 million higher than in 2023. The net LTSA balance, that was just below the lower end of the guided range, standing at approximately GBP 700 million at year-end.  Around GBP 400 million lower than in 2023. The net LTSA balance was driven by higher engine flying hours and an improved normalized engine flying hour rates. This was partially offset by a higher number of shop visits, including a record number of Trent 1000 refurbs and the impact of managing through supply chain headwinds. Then working capital, as you know, this is one of our key priorities at CMD, and we continue to make good progress. We released around GBP 280 million of working capital in the period. That compares to a build of GBP 360 million in 2023. A strong performance given industry-wide supply chain challenges and while we supported revenue growth. We are driving a much stronger working capital culture and discipline across the group. In the 2 years since we stood up our working capital program, inventory days have improved by more than 45 days, days sales outstanding by 14 and overdue debt has fallen by more than 40%. Next, provisions. They were an outflow of GBP 170 million, this included outflows as we traded through our onerous contract provisions. There were about GBP 100 million lower than in 2023. Then overhedge costs, as guided they were around GBP 150 million, more than GBP 200 million lower than in 2023. Net interest costs they were broadly neutral, an improvement of GBP 145 million year-on-year, driven by improved cash delivery. And finally, cash tax costs. They stood at GBP 380 million, GBP 200 million higher than in 2023. Tufan shared our free cash flow outlook for 2025. Let me give you some additional data to help with your models. We expect the net LTSA balance growth to be at the lower end of the guided range of GBP 0.8 billion to GBP 1.2 billion. This reflects continued growth in large engine flying hours to 110% to 115% of 2019 levels. And a higher normalized engine flying hour rate as well as the impact from higher shop visits, which grew to between 1,400 to 1,500 and the continued impact from the supply chain environment. We expect net interest costs to remain broadly neutral. And then the cash tax cost of unwinding the overhedge position to be similar at GBP 148 million. And cash tax costs to be around GBP 200 million higher. Resilience, we have been consistently clear that a key priority is to make our business more resilient. Our results today demonstrate that we are delivering. Operating leverage continues to fall. We continue to strengthen the balance sheet, returns continue to improve. Tufan shared how our total cash cost to gross margin ratio is now a best-in-class, and there is more we want to do. The balance sheet has been strengthened. Look at the chart in the middle. We reduced net debt by GBP 2.4 billion in the year to end 2024 with a net cash position of GBP 0.5 billion. In May, we reduced gross leverage by repaying a EUR 550 million bond, and we canceled the last remaining undrawn UKEF supported loan. Our liquidity position also remains strong, standing at GBP 8.1 billion at year-end. And as you've heard, all three credit rating agencies now rate us at investment grade and all three hold us on a positive outlook. The chart on the right brings home our improved resilience. We're in 2019 for the first bar. It represents the percentage decline in large engine flying hour receipts, but would have taken the group to a cash flow breakeven position. Now look at the right-hand bar, which shows the equivalent percentage in 2024. Across the group, we could have weathered a much steeper decline in engine flying hour receipts, almost twice the level of 2019, twice the level. And we would still have achieved cash breakeven. We are building foundations that are much, much stronger. We are a much more resilient business. Now moving to the midterm free cash flow, which as a reminder, we hold at a 2028 time frame. We are driving for sustainable, higher quality cash flow growth as we continue to improve the business model and benefit from the actions already put in play. We are targeting between GBP 4.2 billion and GBP 4.5 billion of free cash flow, a growth of around GBP 2 billion compared to 2024. The main elements of this growth are operating profit, growth of between GBP 1.1 billion and GBP 1.4 billion over the period is key. We achieved that by continuing to strategically and sustainably expand the earnings potential of the business with every division delivering. LTSA, by the midterm, we expect the net Civil LTSA balance to grow towards the top end of the GBP 0.8 billion to GBP 1.2 billion range. We will drive LTSA growth through five important factors: one, continued engine growth in engine flying hours driven primarily by our growing installed fleet as we continue to grow faster than the market. We expect large engine flying hours to grow to between 130% to 140% of 2019 levels by the midterm. And Business Aviation where we hold a material and growing market share and where the time between shop visits is longer, driving LTSA balance growth. Two, a higher average normalized engine flying hour rate. You have heard how a significant amount of work has been done to improve our LTSA contracts and how most of the cash benefit is still to come. Three, time on wing, which helps extend the time between shop visits, so also supporting LTSA balance growth. We've shared how the opportunity is significant and how we're going even further than initially planned. And again, most of the benefit is still to come. As a result, we expect shop visits to peak in 2026 and then fall to around 1,250 to 1,350 by the midterm. Four, we expect in advance of the midterm, the cash drag from the supply chain to be gone. And five, currency. The consumption of our legacy hedge book means our midterm guidance assumes a blended ForEx rate of $1.31 to the pound compared to $1.48 in 2024. This will drive a higher sterling equivalent for the dollar-based inflows. Next, investments. Our approach will continue to be disciplined with spend, always prioritizing safety and strategic growth. Looking across the period, we expect CapEx and R&D to average above depreciation and amortization. Working capital. As group revenues continue to grow, this will naturally result in an increase in working capital. Our working capital program will help mitigate this impact. As shared at CMD, we had a gross working capital reduction target of around GBP 2 billion by 2027. We have plans to go further. Taking all of this together, hold that across the period, we expect to release working capital. Then the cash cost of closing out overhedge positions, which were a drag of GBP 146 million in 2024 will be going by 2027. And as our profits grow, cash tax payments will naturally increase. Whilst we expect cash to grow in all years between now and the midterm, it is important to note, it will not necessarily always be linear due, for example, to the timing and mix of shop visits. Capital frame. Our frame will continue to focus on striking a balance between 3 clear priorities: a strong balance sheet, a commitment to regular and growing dividends and a disciplined approach to further investments and to additional shareholder distributions. First, the balance sheet, which we have worked hard to rebuild. We are now in a modest net cash position, which is not uncommon in our industry and a sensible place for us to operate from, especially in the near term. Gross debt, we will reduce it further, repaying from available cash the $1 billion bond, which matures in 2025. These measures along with strong operational execution and earnings and cash flow growth should help us achieve a strong investment-grade rating. We have made good progress building balance sheet resilience. And as we continue through transformation, we will remain prudent in our approach to leverage and we will maintain robust liquidity levels. Then distributions, having strengthened the balance sheet, we are now able to reward our shareholders with a competitive level of returns. As shared at our 2024 half year results, we are reinstating regular shareholder dividends. And we are pleased to announce that the Board is recommending a cash dividend of 6p per share in respect to the full year 2024, representing a payout ratio of 30% of underlying profit after tax, the first dividend paid by Rolls-Royce in over 5 years, and the distribution to shareholders of approximately GBP 500 million. Going forward, we will pay an interim and a final cash dividend each year. And full year dividends will be based on a payout ratio of between 30% to 40% of underlying profit after tax. We assume an effective tax rate in the mid-20% range. Over the midterm, we expect to be broadly in the middle of that 30% to 40% payout ratio, a competitive payout ratio for our industry and as our earnings grow, so, too, will our distributions. Another important milestone in our transformation. We are announcing a share buyback. It will total GBP 1 billion, will start immediately and will complete over the remainder of 2025. Taken together with the dividend, this represents a total distribution to shareholders of GBP 1.5 billion, competitive and evidence of our commitment to growing shareholder returns. Going forward, we will continue to strike a balance of holding a strong and flexible balance sheet as we make active and disciplined capital allocation decisions to drive shareholder value, be they further investments, organic or inorganic or additional shareholder distributions, all of which will be assessed by strategic fit and how they contribute to growing long-term value. To close, when we spoke at Capital Markets Day in 2023, I said transformation was not easy, but that it could be done. Our results today clearly demonstrate not only that it can be done, but that we are doing it. Everyone in Rolls-Royce has worked immensely hard. It's most definitely been busy. We are immensely proud of everything that everyone has done. And we are clear there is more to do, and there is more to come. With that, let me pass you back to Tufan.
Tufan Erginbilgic: Okay. There is definitely more to do and more to come. And I'm going to go to that. But before I go to that, let me recap. Thanks, Helen. We covered a lot of ground. So let me recap on the key messages. Our transformation program has already delivered a step change in financial performance across the group. We have given you insights into what we are doing and how we are achieving this. The strategic actions we have taken and the investments we have made significantly underpin our '25 guidance and upgraded midterm targets. In fact, the full benefits of our actions will not be realized in full until beyond the midterm. Let me now talk to you about why we are excited about the outlook beyond the midterm. In Civil Aerospace, we are uniquely positioned to capitalize on our advantaged positions in widebody and business aviation. As discussed earlier, the benefits of our OE and aftermarket contract renegotiations and commercial optimization actions on new and renewing contracts are progressively scaling up with the full benefits to come beyond midterm. As contracts with higher margin scale-up, we expect to deliver further progress in improving LTSA margin and cash generation. The same is true for time on wing. We are spending GBP 1 billion on improving the time on wing of our modern engines by the end of 2027. Not only will this investment be concluded by that point, but the cash benefits of our time on wing improvements will ramp up beyond the midterm. UltraFan positions us strongly for the next generation of aircraft, either wide or narrowbody. UltraFan is 10% more efficient than the Trent XWB-84, the most efficient engine in the market. It has a geared architecture and is 100% SAF, sustainable aviation fuels compatible. In business aviation, we are strongly positioned on the latest large cabin business jets, including the G700, G800 and the Dassault Falcon 10X. All of these improvements in Civil Aerospace are complemented by widebody and business aviation growing faster than the market. In Defence, the growth will be driven by a ramp-up of several major programs. On the B-52, we expect to deliver around 600 engines with production starting in the late 2020s. On FLRAA, all year revenues will also start to ramp up in the late 2020s. As a replacement for the Black Hawk helicopter, this looks set to be a very large program with potential for significant export sales in addition to the sales to U.S. Army. Production for GCAP a next-generation combat aircraft, will be ramping up in the mid 2035 -- mid '30s actually. And in submarines, revenues from AUKUS will ramp up by around 50% from today to the late 2020s. This is a CapEx light business model with a very high return on capital. Rolls-Royce looks forward to powering the U.S. Navy's MQ-25, the first autonomous refueler in aviation history. This aircraft will use the AE 3007N engine and expands Rolls-Royce leadership in unmanned propulsion. In addition, we have -- we anticipate sustained demand for our mature and profitable products in both combat and transport. For example, the EJ200 engine for Eurofighter. Our strong product offering means that we are well placed to win future contracts. Great examples of this are the SAOC and TACAMO contracts that we announced last year. In Power Systems, we have differentiated products in power generation, governmental, marine and industrial end markets. They are all expected to grow. Our position in Power Generation remains highly attractive with significant long-term growth potential in data centers. Additional profitable growth will be underpinned by our next-generation engine in Power Systems, the first new engine in over 2 decades, which will offer significantly improved power density and efficiency. This differentiated product will create commercial opportunities and new market segment access. We also see exciting opportunities in our low carbon -- lower carbon products, notably profitable growth from battery storage system business and for lower carbon fuel products, for example, hydrogen for our stationary business, methanol for marine and the increased use of HVO for data centers, mining and rail. Our unique nuclear capability also means that we are well placed to capture growing demand for SMRs. We see a significant market opportunity for micro reactors in defense, space and commercial applications. Finally, we see a significant value creation opportunity in SMRs, which I will talk to now. We are uniquely placed to win in this large and growing market and create significant value. Let me explain why. Rolls-Royce SMR is a business with a unique and differentiated product offering and an attractive cash-generative business model. The addressable market for SMRs is large and growing quickly. The International Energy Agency, IEA, currently forecast that global electricity generation will double by 2050. Nuclear has a growing role to play from an energy supply security and net zero perspective as other continuous generative assets are phased out. Based on IEA's estimates, we see a credible SMR market of almost 200 gigawatts by 2050, equivalent to around 400 of our 470 megawatts SMRs. We are well positioned to win in this market. Rolls-Royce has over 60 years' experience in powering the U.K. Royal Navy's fleet of nuclear submarines. Our SMRs are based on proven technologies. Our SMRs are fully modulized, reducing deployment time and offering up new locations without customized infrastructure needs, which will reduce costs and speed up our time to market. Around 80% of our SMR will be built in factories as opposed to on-site, materially reducing the risks associated with traditional nuclear projects. The larger power output will result in green electricity at a highly competitive cost without the intermediancy issues associated with solar and wind. Therefore, they don't require storage or backup systems. Finally, we are around 18 months ahead of our competitors in the GDA regulatory process in the U.K. Rolls-Royce SMR is already winning and making significant progress. Last year, we signed this new strategic partnership with CEZ to deploy up to 6 SMRs in the Czech Republic. We were also down selected in both the U.K. and Sweden's competition. Additionally, we have significant interest from many other countries. Our cash-generative business model is very attractive with positive OE margins from the very first unit rising over time, driven by economies of scale and the learning curve effect. Our SMR contracts will also be immediately cash flow generative because of customer advance payments as shown on the chart on the right. More than 80% of the components that make up our SMRs will be delivered by third-party suppliers. This will materially reduce our capital intensity and mitigate risks. As a result, we expect to generate a strong double-digit return on capital from SMRs. Risks, also be tightly controlled using tried and tested technology towards R&D, reduces risk and increases speed to market. Our financial risks are shared by our strategic partners and suppliers, each of whom bring key strengths and capabilities to the business. For example, CEZ, who has experience as a nuclear operator and brings deep supply chain capability. And our initial contracts will have margin protection built into them using, for example, cost-plus contracts. So this is a differentiated business and one that we believe has a significantly higher value than it is listed or unlisted peers. The value of the business will grow materially from now as we successfully execute and deliver growing revenues, profit and cash flows. To summarize, we are delivering on our proposition to transform Rolls-Royce into a high-performing, competitive, resilient and growing business. We have achieved a lot over the past 2 years with significantly improved financial performance across the group driven by our strategic initiatives despite the impact of a challenging supply chain environment. We are delivering this at pace. Our 2025 guidance will see us delivering our CMD targets 2 years earlier than planned. Today, we also issued new upgraded midterm guidance, benefiting from our expanded earnings and cash potential. Our strong delivery over the past 2 years gives us confidence that we can, not only achieve our midterm targets, but also significantly beyond the midterm -- significantly grow beyond the midterm. This growth is underpinned by our strategic initiatives and the investments that we have been making over the past 2 years and their continued implementation going forward. A stronger balance sheet also gives us confidence to reinstate dividends and announce a GBP 1 billion share buyback for 2025. These also all show our commitment to grow shareholder returns. We have made great progress, and we see a lot more potential. We are creating a sustainably distinctive business in terms of safety, operational excellence, customer service, advantage products and technologies with a high-performance culture. I am very proud of the Rolls-Royce team and what we've delivered so far. They know their role in delivering our strategic progress and are energized to make a difference. Thank you for listening. Now we are going to open it up for your questions.
Jeremy Bragg: Thanks very much everybody. We'll take questions in the room, and then if there's time, a few on the webcast. So you are quick, Charles. Do you want to start?
Charles Armitage: Charles Armitage. One clarification and a couple of questions. The first, a clarification. I think you said amongst your key drivers of the improvement, pretty much in the first 3 minutes of your comments, there was something about T&M and moving LTSAs to T&M. Is that -- what does that mean? The other two questions. One is the Trent 1000 time on wing improvements. Does that mean you can start regaining share? Or is it a case of most of the widebody choices have already been made and you'll probably be taking along in the 20%, 30% range? And the thirty-one is the GBP 450 million improvements from procurements from '24 to '25 million, GBP 150 million in indirect, that GBP 600 million possibly offset by some of the catch-ups maybe, also with the contract provisions, onerous contract provisions. It sounds like your '24 -- your '25 EBIT looks a bit low.
Tufan Erginbilgic: Sorry. Are you talking about cost improvements?
Charles Armitage: Your setting fact on the cost.
Tufan Erginbilgic: Yes, I'll come to that. Okay. Let's go in the order. I think clarification. What I said is, I think in CMD, we talked about that. We have been unbundling LLPs because it gives you more flexibility with commercial optimization and so on. So I said in my speech that 60% of our contracts are now unbundled. That's what I said, okay? Trent 1000, yes, that's what that means. Frankly, we are -- I said it in my speech, we are making good progress. By the end of this year, this is going to be totally competitive engine in terms of time on wing. And the main issue with Trent 1000, I know this precedes my time definitely, there are lots of noises about this. Reliability of this engine is as good as the next. Our main issue has been time on wing. And we are effectively fixing it for good and we know it works. I mean flight test was successful, but it wasn't a surprise because Trent 7000, we actually did it. Now Trent 7000 is performing, last 2 years, better than we expected. As you know, they are brother sort of engines. So we are seeing doubling the time, but actually Trent 7000 so far, even in an environment like Kuwait, performing brilliantly. So -- and this [ Bumby, ] we call it [ Bumby, ] first improvement will bring in 2Q once the certification happens. Actually, that will double the time on wing. Then the next improvement by the end of the year will come with 30%. The good news is this required flight test and therefore, Boeing -- working with Boeing and FAA certification, et cetera. The other one is only engine-level certification, we can quickly implement it. Yes, we are looking to increase the share on 787. Why not? Because this is going to be a highly competitive product. That's why we focused on that. Your sort of calculation, I will challenge that a little bit because you cannot add them up that way because there are -- we are, for example, procurement. We are seeing those things will offset, partially offset some of the supply chain increases, number one. Number two, while we are decreasing indirect cost, as you highlighted, we are growing, we are increasing other costs, okay? So therefore, you need -- these benefits help gross margin flows through, but you generate them up the way you just did. So it is not a catch-up or onerous contract issue because as we talked about in our conversation, we still expect good sort of onerous and catch-up in '25 and '26. We are making great progress after '26, they go -- especially onerous, go down. Catch-up will definitely not disappear because as we continue -- the way you should hold catch-ups is underlying business improvement. Actually, onerous contracts is also underlying business improvement by definition. But therefore, we continue to improve the business. Catch-ups will continue to be there. You raised actually first your hand, but Jeremy went there. So I let that happen. So I don't want to be unfair.
Chloe Lemarie: Chloe Lemarie from Jefferies. I actually have two questions. The first one is on the contract margin improvement from 2022 to 2028. Could you maybe break down the 17 points between what you got on pricing versus cost versus time on wing improvement? And is it fair to assume that the improvement beyond 2028 would be mainly the remainder of the time on wing benefits that you're targeted by 2028? And the second question is actually, if we can -- on the narrowbodies. So can you detail the key technologies that you bring to a potential partner because we're seeing the 2 incumbents going very different routes technology-wise. So how do you think you would fit into that landscape, please?
Tufan Erginbilgic: Okay. Two good questions. I think contract, let's talk about. I'm not going to break it down for you. That's why we talk about 6 levers, but they all play the role. So if you ask me, what are the big ones, you, specifically, you're talking about contract margin. So contract margin, it is very true that new contracts are coming with a much better margin profile than our historical contracts, okay? Contract margin, even if, as I said in my speech, even if the engine is not delivered yet, once you sign the contract, it becomes contract margin, if you like. Therefore, even some undelivered engines in that with higher margins. Definitely, the further you go, that mix will change in favor of us because all contracts will expire, new contracts with higher margins, that will continue definitely. That plays a big role. Renegotiate contracts play a big role. I showed you the cash profile. We are talking about multibillion sort of numbers there. Those two and then time on wing, probably three big things like shop visit cost in this period, XW went down, but actually, in the next period, shop visit reductions will add more than it did in this period, okay? That's how you may -- why, you will say. Supply chain didn't allow us to do some of the things there, okay? Product costs, the same. Next period will be better than this period. So your point around going forward, I would disagree with your characterization. So let me tell you how it is going to play out. So that's why I said my expectation, those 2 curves will shift up. Why? So first of all, if you actually -- we said we are going to renegotiate more contracts in '25% '26, that's not in the numbers because this is only what we achieved throughout there than what we may achieve, if you like. So those things, we are making good progress. That will actually increase that. Operational improvements will definitely improve that. But also, even if you deliver your plan. So the way you think about our contracts. Inherently, you say, I'm going to achieve time on wing X, like I will double time on wing on Trent 1000. You put a contingency against that because it's not 100% certainty that you will. If you effectively execute that, which we have been doing so far, you actually release the contingency. So even executing your plan on time in budget will improve those things. Therefore, 3 things will improve, further renegotiations, executing your plans the way you want to execute and then finding new operational improvements. And time on wing going from 40% to 80% is enormous. This is not sort of peanut. So that's it. If I go to your narrowbody, so I will say this. We are very well positioned on narrowbody. Therefore, everybody is talking to us and we are talking to everybody. So I said it in CMD, our preference is partnership. We don't need partnership for capability, but our preference is that. So we will see where that goes. It's early days, but we have -- with UltraFan, great technologies, that's why everybody is talking to us, and great engineering capability in general are there, and UltraFan is more efficient engine, as I said, than any other engine available in the market at this point in time. And the IPs we have on that on a geared structure is very favorable. Let me put it that way. So I think we will see how that story unfolds. But we believe we can actually do things in that space. David, you were third.
David Perry: Yes. I've got one very short question, one slightly longer. The short one is, would it be silly just to assume ongoing share buybacks every year given the amount of cash you're going to generate? The longer question, if you bear with me, is you've told us that the Civil Aero margin in '28 will be 18 to 20. You've also told us that the bulk of the widebody OE, your biggest engine, is going to be breakeven, which is a lot better than I assume. Very crudely, the implication of that is LTSA margins are probably still only 30% in 2028, which is a lot lower than the aftermarket margins of your peers. So would you agree with my crude math? Apologies if I'm wrong. If you do agree, why are the LTSA margins so low and where could they go to?
Tufan Erginbilgic: Okay. I'm going to ask Helen answer buyback program. Let me answer your sort of operating margin question. So I think, first of all, I didn't say all engines because we still have, at that point, we want to sell Trent 1000 and A380 -- sorry, A330neo obviously. I was only referring to XWB, which is factually correct. Second, I think when you think about sort of your calculation, David, especially from today to that point. Today, we were very successful with negotiations. Therefore, we were able to book, yes, some of it, as Helen talked about, because of product cost and supply chain challenges partially offset but we were able to deliver big commercial improvements. That will not be available by midterm because we will have done that already. So onerous contracts and so on, we will have delivered by that time, frankly. So I think that is going to be for 20 time frame, that will be a negative definitely in the equation. Do you want to answer buyback?
Helen McCabe: Thanks. Thanks, David. So David, hold it, we had a clear capital frame. And as we've said, going forward, we will be consistent as how we strike that balance between our priorities. We've been consistently clear we will protect the balance sheet with a net cash position and modest net cash position. We're comfortable operating from there, particularly in the near term, not an unusual place, as I said, for the industry. Then we'll ensure that shareholder dividends are regular. They will continue to grow in line with our earnings growth. And then we will continue to assess the options beyond that, be it additional investments, organic, inorganic or additional distributions and buybacks are in that tool kit. But we will be very disciplined as to how we assess that. We will look at the strategic fit. We will look at what we do for shareholder value and return and we'll look at the appropriateness of the timing of that. So that's how you should hold that going forward.
Tufan Erginbilgic: Go ahead.
Unknown Analyst: Two for me. So firstly, Tufan, time on wing, going from 40% to 80% is obviously a very, very significant improvement. You've been talking about 40%. Come on, how are you getting there? What is really incremental that is driving that material improvement because it is significant? And then on your 2028 guide, your cash is still significantly ahead of your profit. So when we think about your guidance beyond the midterm, you've given us some color. Is that cash going to roll and meet the profitability? Or is the profitability going to come up as the cash flow will continue to grind higher? Because at some point, there's going to have to be a realignment there. So those were the two.
Tufan Erginbilgic: That's great. So normally, I pass to Helen. I'm going to make, on the second one, one big point because I think you may want to think about this slightly differently. I'm going to make an offer to you. Then Helen will obviously build on it.
Helen McCabe: I don't know what's coming.
Tufan Erginbilgic: So full of surprises, life, I guess. But time on wing, there is the direct answer, which I will come to. Then there is this sort of how does that happen, right? Here is how that happens. So effectively, that's an insight into how we run the business. I keep saying we are running the business differently. I'm not sure it resonates yet. But this is part of that. So Rolls-Royce has been talking about time on wing, I don't know how long, definitely precedes my time. But when you actually put, okay, we are not going to talk about it. We have made strategic choices. Now, a very granular strategy, that cascades into 17 strategic programs, whole company. If you are working for Rolls-Royce, you are working one of those programs. So you know your role, right? By resourcing, time on wing is one of them. You wouldn't be surprised. By resourcing with the right talent, right money, suddenly you accelerate and more stuff comes out. So I can repeat this. So this is an insight to you, how we run the company. There's a direct answer to you. This is mainly -- I actually referred to that in my speech. This is mainly -- other programs out there, we have been talking about. But mainly, it's XWB-84. XWB-84, effectively, what we did there is it's a conjunction -- combination of two things. We actually do a modification on compressor blade. We are hardening the root of the blade effectively. That's what we are doing there. In addition to that, this is millions of hours of operating data with higher fidelity understanding of speed pressure and temperature within an engine with a highly instrumented sort of testing. So normally, we do our LLPs, when I say critical parts, some of critical LLPs there, okay? We do it different than our competition. Our competition goes with long times, a lot longer than we put on LLPs. We go, here is the limit, and only when we understand operational with high fidelity, we sort of raised the limit, right? So now on XWB, we had a great time on wing, mostly driven by HPT blade right? Our time on wing limitations mostly come from HPT blade, so think that way. But the issue was, so HPT blade goes from here to here, more than 4,000 cycle, actually, which is for the new engines, enormous. We had LLPs cannot grow that long. So when you actually take those LLPs up because of the process I talked about, suddenly, you have enormous and actually refurb reduction in this time frame. We talk about after '26. That's a combination of two things. Effectively refurb reduction in 84 because of this because it is refurb because we are changing many parts. It is refurb. Combination of that and Trent 1000 blade change, not required with nonrefurbs. So you see both of them go down, and that actually drives total shop visit costs done. I hope -- long answer, but I wanted to sort of give you -- this is not some [indiscernible] sort of thing. But we may find more opportunities. I just -- therefore, I went through that. But on the cash, obviously, Helen will answer it. But I would like to you, guys -- here is the offer, to think about LTSA balance growth slightly differently, okay, for us. We have a young growing fleet. And we have big time on wing improvement opportunity. If our starting point was, everything is brilliant, time on wing, this 80% is not there, then I think you may be right. When does it actually end. But our starting point is -- I'm telling you almost doubling time on wing, and you are in this industry, right, you will know what that means for the whole modern engines, right? That, plus all our programs do two things: increase the [indiscernible] effectively balance, LTSA balance and increase our take on it, our margin. That is what it is designed for effectively. Cost efficiencies, our 6 levers, plus everything else we do, renegotiating all that. So effectively, when you guys continue to think, I think this LTSA balance growth sort of temporary, think again because of our starting position and because of what we do for -- I'll tell you this, our Trent 700 LTSA balance didn't peak yet after 30 years. And you will say, "Why, Tufan?" I will say, you keep improving it, right? So now, Helen will answer.
Helen McCabe: I got what left to say?
Tufan Erginbilgic: But I want you to think very differently about LTSA balance. That's why I said it because some people think, it's not cash. It is. Why am I driving it if it is not? And the important thing is that I'm driving it, I'm increasing my portion significantly, 20 percentage points. We are not done.
Helen McCabe: I think I'm just going to summarize. So I mean if you think about cash in 2028, so around GBP 2 billion higher than in 2024, think of 5 things behind that. Operating profit growth, obviously, of over GBP 1 billion. LTSA gets to the top end of that range because of their actions. Supply chain, that drag has gone away. Onerous, we heard in 2026, how we've been through most of the onerous contracts. So as you know, when we do that, you get the profit benefit, the cash takes a longer time to come through. And then tax, obviously, we expect to grow. That LTSA growth, as you've heard, because of our position in that young growing widebody fleet, what we're doing around LTSA margins, what we're doing on time on wing, up to 2020, there is some ForEx benefit. All of that helps support. And I think your example of the Trent 700 is a fantastic way to bring that to life, an engine that's been in service for 30 years.
Tufan Erginbilgic: 1994.
Helen McCabe: Yes, and we haven't seen that LTSA balance peak yet. So I think that's just an easy example to bring that to life. But that's how you should hold it going forward. Yes.
Tufan Erginbilgic: Yes. Then I'll go there.
Unknown Analyst: 13 years of [indiscernible], so still I haven't got used to these market events. Trent 1000 certification is now expected in Q2 versus Q1 before. Could you help us understand what the slip there is?
Tufan Erginbilgic: I mean it's very simple. Boeing start 2 months, that delayed around 2 months.
Unknown Analyst: Okay. I'll follow up on that.
Tufan Erginbilgic: No. I mean it is because it is a successful test. And there isn't anything else yet. So we said it first half, 1Q, then frankly, Boeing's strike sort of happened. And we couldn't continue with the flight test. So we start -- if you remember, I think I said it early August when we were making presentation, we started flight test yesterday or something I said, which was true. But then we had to stop when the strike happened.
Unknown Analyst: Just a follow-up on David's question earlier. Do you have a target capital structure in mind, a certain gearing ratio that you're in before? You mentioned something at H1 last year and then we haven't heard that again. And then last question. There was one slide, Tufan, late in your presentation where you -- if I read that chart as correct, you suggest that SMR will be as big or larger than Defence in 2040, can I just sense check that as a statement?
Tufan Erginbilgic: Okay. So I'll answer that and your capital frame question, Helen will answer. But so it can be, right? I mean, it can be. If you actually think about it, the reality is, I always start with big picture. Does that actually make sense, right? Whether you are a supply security person or net zero person, SMRs will have to play a big role, definitely in Europe if not the world, but definitely in Europe. Therefore, quite a few Central European countries went there already, as you know. And some of the Scandinavian countries as well. So I think that big picture is true. I mean I come from energy industry. I can tell you this -- you don't want to go to net zero with solar and wind because it will be -- with the energy storage technology in the world available, that will be a disaster solution for any country goes there with solar and wind if -- with the current technology, unless you put a gas-powered backup system, which will be a lot more expensive than SMR, right? So when I say, SMR, big picture, it makes sense. It is a competitive electricity. If you take into account, you are going to do like gas with CCUS, then SMR will be cheaper. Electricity cost, I'm talking about. All solar and wind with a backup system, again, SMR will be cheaper. So therefore, big picture, it makes sense. Competitively, it makes sense. Therefore, it can grow quickly, absolutely. So I'm not going to speculate sort of -- because those numbers -- the point of that chart, there is lots of underpinning. They are not as robust numbers as our midterm targets, by the way. So there is a qualification there in that sense. But over to you.
Helen McCabe: Fantastic. So thanks for the question, [ Ian, ] and you do have a good memory, as I've come to expect from you. So net cash. As I said, we're comfortable working from that net cash position, particularly in the near term. We're back to investment-grade rating. We would like to actually get to a strong investment-grade rating. So if you think about what that equates to, it would be commensurate with the leverage of up to 1% and 1.5%. So we could go up to that point. But we would obviously be very deliberate if we did that. It would need to be for the right opportunity, which we would assess against our very strict criteria around strategic fit and how that drives shareholder value. And I think just worth saying, in case it was in the back of your mind, we don't have any intent of levering up for buybacks.
Tufan Erginbilgic: Thanks, Helen. Yes?
Nick Cunningham: Nick Cunningham from Agency Partners. A little bit of a detailed one and then perhaps a very general one. The supply chain charges that you took, I think, GBP 382 million in Civil. I just wonder what exactly those are. Are they your best guess of the impact on the cost to complete on the existing contract portfolio? And therefore, do they not recur? Or are they sort of in-year cost? So that's the first question. And the second much more general one. The cash flow, both in the year you just reported and looking forward, it's very pleasing, particularly because I didn't actually believe my own forecast, but they are roughly there. That does have the effect of making cash pile up very rapidly and in very substantial quantities. So that really obviously opens up those strategic opportunities. In the broader sense, because obviously you don't want to open too much, but in the broader sense, where do those opportunities lie in sort of general within your existing segments or in nuclear or whatever? Anything you can say would be interesting.
Tufan Erginbilgic: So Helen, do you want to pick up both of them? And I may add sort of where I see in the big picture opportunities bit.
Helen McCabe: Fantastic. So thanks, Nick. So as you see, charging the supply chain of just under [ GBP 400 million, ] that reflects our best estimate based on supply chain situation at the minute. The way that long-term contract accounting works, if you've got onerous contracts, then that impact that you see, you've actually take all and year. So that's how you should think about that. In relation to what's driving that, I mean, it's very consistent with what we spoke about in the past, particularly parts supply availability, casting, forging. As we said, we expect the supply chain to remain a challenge for the next 12 to 18 months. But that's how you should hold it. That's our best view at the minute. In relation to cash flow, and you said that pileup. I think it gets back to some of the questions earlier. We've got a clear capital frame as to how we all think about decisions, about what we do with the cash balances and how we strike that balance between the strong balance sheet. You've heard how we want to get to strong investment-grade rating. We've got a clear dividend policy. We started at 30%. We expect to be in the middle of that range going forward. Not only is that an increase, but as our earnings grow, if you're doing a payout ratio, the dividend will also grow as a result of that. And then we've got clear guide rails as to how we will assess opportunities, organic, inorganic, which I think Tufan wants to speak about, or additional distributions, which could include share buybacks, but it's a good place to be operating from, yes.
Tufan Erginbilgic: I think, I mean Helen said it. A couple of things. First of all, that forecast, it's great to hear. We are forecasting the same way. But I think that forecast already includes what we want to invest in anyway, okay? So therefore up. Therefore, I'm going to take your question like where are the big opportunities rather than where do you want to invest because we are already investing. We increased the net investment, therefore. Frankly, we are in a privileged situation. I think a part of it, where we operate, a part of it, the opportunities we created for ourselves, frankly. And there is a growth potential, obviously, in Civil Aerospace, where we are highly differentiated and that can be narrowbody, widebody. But UltraFan Ultrafan investments, for example, in our forecast, obviously, right, you should think that way. So time on wing, 1 billion will expire by that time as we talked about. SMR, at this point, SMR will not actually require big investment. It will grow. Only thing what Helen said is -- and Power Systems, one point I'm going to make just to point out. Power System, capital and research and development right now, highest in their history, 100 plus years. That should tell you how we're thinking about it. There is a growth potential that's immense, but that's immense with proper returns, right? So there is lots of rigor, there is lots of challenge, but there is never hold back. That's why I'm not talking about in '28. Today, their CapEx and R&D is the highest on record for Power Systems because -- why? Because there is so much data center-driven growth opportunity that -- and some governmental, frankly, that we want to actually benefit from. So we have -- only thing I'm going to talk about because we are already investing, only thing I can talk to you about, where the sort of -- it can come from any of our businesses because if we had low return business, low-margin business, frankly, we are already getting out of them. So therefore, that opportunity, organic or inorganic may come from many places, and we will evaluate the way Helen talked about. Jeremy, do we have digital question or do you have a question?
Jeremy Bragg: Not my question. So there's a couple of questions here. Maybe we could finish on these. And one is, what do you consider the impact of potential tariffs to be in the U.S.? And the second one, which I think you'll like, Tufan, is, when do you expect a decision on SMRs from the U.K. government?
Tufan Erginbilgic: I always like that. So I think tariffs first. We have done lots of work as you can expect. Frankly, I will say this. All the tariffs already announced, there is limited impact for us. And what else may come, obviously, I'm not going to speculate here. But I'm going to say the following. Our mindset and the processes we are putting in place, some of it being very proactive to mitigate the impacts. And because we want to run a company, that's part of -- I talked to you about distinctive performance culture. This is actually one of the principles there. How do you create response capability, mindset and capability because mindset is important. So that's my tariff answer. I think that's GBN question. I mean it has been delayed, obviously. But we expect in 2Q, probably towards the end of 2Q GBN to come and select technologies and so on. But here is the good news. So again, this should give you an insight to how we run the business. We actually -- we didn't want to sort of bet on one thing for the whole business. Therefore, we went out there, work with other countries and develop options so that we can actually unlock SMR potential. And CEZ deal is a highly strategic deal effectively does that. So therefore, we are not sitting here and saying, "wow, we got 800 people, we don't know what to do with it." No. There are actually, as we speak, working with CEZ on the first site already because CEZ already identified the first site. In fact, CEZ's CEO is actually coming here early March to meet me, et cetera. So my big point is, yes, that process is very important for us. I argue, very important for U.K. because I said it publicly and privately, these new technologies come in. Offshore wind, I was in energy industry when that came. Frankly, U.K. didn't move fast enough and lost to first-mover advantage, and therefore, lost opportunity to develop wind supply chain in the U.K. It was developed elsewhere, and it will never come back. Right now, we have a leading SMR in the U.K. This is a perfect opportunity to create U.K. supply chain in the U.K. with the first mover advantage because, frankly, our mid-tier capability is unique in the world. I may have said it before. I don't know how it resonates with you. There is -- let me spell it. There is no other private company in the world with our nuclear capabilities. I actually tell the nuclear team, if we are not market leader in SMRs and micro reactors, we made a mistake in going after that because we should be natural leaders in that space given our unique capability. So that's my GBN answer, always long answer for GBN. Any other questions? I think we are going to close. Thanks for coming. Thanks for great questions as usual. We are making progress. Hopefully, you agree with that. We actually expanded the earnings and cash potential of the business. But more importantly, our future mid-term targets already underpinned to a great extent by the actions we have taken. For example, 80% time on wing, we know that, otherwise, we wouldn't share with you other 40%, right? So there is no technology risk there, for example. So that's what I mean. So I think that's what we are on to. And we talked about beyond midterm because we are excited by it. Thanks again. Have a great day.